Operator: Good day, everyone and welcome to the TriNet Group Inc. Second Quarter 2017 Earnings Conference Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. And please do note that today’s event is being recorded. I would now like to turn the conference over to Alex Bauer, Executive Director of Investor Relations. Please, go ahead.
Alex Bauer : Thank you, operator. Good afternoon, everyone, and welcome to TriNet's 2017 second quarter conference call. Joining me today are Burton M. Goldfield, our President and CEO, and Richard Beckert, our Chief Financial Officer Our prepared remarks were prerecorded. Burton will begin with an overview of our second quarter operating and financial performance. Richard will then review our financial results in more detail. Once completed, Richard, Burton and I will then open up the call for the Q&A session. Before we begin please note that today’s discussion will include our 2017 third quarter and full year guidance and other statements that are not historical in nature, are predictive in nature, or depend upon or refer to future events or conditions, such as our expectations, estimates, predictions, strategy, or other statements that might be considered forward-looking. These forward-looking statements are inherently subject to risks, uncertainties, and assumptions that may cause actual results to differ materially from statements being made today or in the future. Except as maybe required by law, we do not undertake to update any of these statements in light of new information, future events or otherwise. We encourage you to review our most recent public filings with the SEC for a more detailed discussion of these risks and uncertainties that may affect our future results or the market price of our stock. In addition, our discussion today will include non-GAAP financial measures, including our forward outlook for non-GAAP net service revenues, adjusted EBITDA, and adjusted net income. For reconciliations of our non-GAAP financial measures to our GAAP financial measures, please see the company's earnings release available on our website or through the SEC website. A reconciliation of our non-GAAP forward outlook to the most directly comparable GAAP measures is available on our website. With that, I will turn the call over to Burton for his opening remarks.
Burton Goldfield : Thank you, Alex. I am pleased to report strong second quarter results. We delivered solid financial performance and made important progress against our 2017 operating objectives. In Q2, we grew GAAP revenue 7% year-over-year to $801 million and we grew our net service revenue by 35% year-over-year to $201 million. Professional service revenue declined by 1% year-over-year to $109 million. Net insurance service revenue increased 133% year-over-year to $92 million. Our second quarter GAAP EPS grew 229% year-over-year to $0.56 and our Q2 adjusted net income per share exceeded the top end of our guidance by $0.24 at $0.52 per share. Professional service revenue was impacted by the ongoing transition to the recently released Main Street product Main Street. We expect Professional Service revenue and WSE count to return to growth with the completion of the SOI migration and the adoption of the Main Street product. Similar to what we saw in the previous quarter, our net insurance revenue outperformed our expectations as we benefited from a higher number of enrollees in our plans, reductions in administrative expenses and better than expected claims experience. Net insurance service revenue includes all revenue collected in connection with providing a broad range of services, less the associated cost that we pay to our insurance carriers for the provision of insurance. Net insurance service revenue is a key component of the unique value proposition we deliver to our customers. By utilizing TriNet’s scale, we sponsor a broad range of fully insured risk-based employee benefit plans including over 100 different medical plans providing significant choice nationwide. These plans would otherwise being largely inaccessible to many small and mid-size businesses. In addition to sponsoring insurance plans, we also deliver a broad range of associated services to our WSEs in connection with the administration and ongoing day-to-day support of those plans. For example, we perform a technology-driven open enrollment process for all WSEs that participate in our plans. We provide a benefits communication team and live benefit specialists to support our WSEs during and after enrollment. Through the Employee Solution Center, our team of professionals deliver support with respect to products and services, benefits coverage and choices and updates regarding carrier offerings and networks. During the open enrollment window, the call volume in the solution center increases to over 3,000 calls per day. With respect to our workers’ compensation offering, TriNet’s nationwide network of risk consultants are dedicated to proactively helping our clients minimize safety risks. Through the first half of 2017, we made over 1000 safety visits where we went to our clients’ job sites and work with them to identify hazards, recommend controls, prioritize risk reduction and monitor results. Our clients are able to access more robust coverage from highly rated carriers by leveraging our scale and risk management expertise to achieve competitive pricing, TriNet once again saw improved performance in Q2. Our insurance services team continues to work diligently to enhance our case reserving process and pricing methodology. In summary, Q2 net insurance service revenue benefited from increased insurance service revenue and lower than expected insurance cost. Insurance service revenue grew due to better than expected benefit plan enrollment which exceeded our forecast. Given that we are seeing enrollment growth and improved health experience, we are encouraged that our plan choice and pricing is competitive in the marketplace. Insurance costs were lower than expected due to lower administrative cost and better than expected claims experience in both health and workers’ compensation. Health experience can fluctuate particularly when measured on a quarterly basis. Over the last two quarters, we have realized better than trend experience. Regarding our administrative cost savings, the insurance services team leveraged our scale, and disciplined price to risk approach to further reduce our administrative expenses. Because of the impact of these savings on our cost structure, we expect our clients and WSEs to benefit from these efforts throughout the remainder of 2017 and into 2018. Moving to our volume growth, we finished the second quarter with over 329,000 work site employees, up 1% year-over-year. As anticipated and discussed in previous quarters, Q2 WSE growth was impacted by two factors. First, we had higher attrition resulting from our disciplined approach to migrating our SOI clients. Second, to minimize client disruption as a result of changing platforms, we moderated new sales as we prepared for the launch of our next generation product, TriNet Main Street. TriNet Main Street went live on July 1 and we look forward to updating you on our progress in the coming quarters. We undertook four ambitious operational objectives in 2017 to improve our processes, products and platform. These objectives reflect our commitment to leveraging scale across our organization for the benefit of our clients and shareholders. We believe these strategic investments will ultimately drive long-term growth. First, we launched TriNet Main Street targeting industries including hospitality, property management, and retail. Second, we are introducing our API first strategy allowing our platform to integrate more efficiently with third-party products. We view this functionality as a critical component of our client’s overall ecosystem as they succeed, grow larger and grow more complex. Third, we delivered a more intuitive user interface enabling improved productivity for both online and mobile users. And finally, we have been focused on migrating our legacy SOI clients to a common TriNet platform, which will allow us to concentrate our IT investment, rationalize multiple systems and processes, and provide our clients a better experience. We have made the following progress on each of these objectives. We are currently onboarding new clients and have successfully run payrolls on the TriNet Main Street. Our clients are using the published TriNet APIs to integrate with other important systems that are relevant to how they run their business. After a successful beta run, clients on the common TriNet platform are benefiting from our new user interface. And finally, we made great progress in preparing for our migration, starting in Q3 of our SOI clients to the TriNet Main Street. Our ability to build products at the right price with the right service model is the foundation of TriNet moving forward. The TriNet Main Street product addresses the critical needs of a large client segment with intuitive payroll, robust time and attendance, comprehensive workers’ compensation, cost-effective employee benefits, and expert compliance support, along with a competitive price point. In our estimate, the Main Street vertical total addressable market is approximately 16 million WSEs or $25 billion, more than half of our company-wide TAM and Main Street is the product destination for most of our clients transitioning from the SOI platform. The SOI migration represents a significant upgrade for our Main Street clients. Our clients will benefit from ease of use and an improved customer experience. Overtime, TriNet will benefit by increased operational scale, improved business processes and increased efficiency as we continue to enhance TriNet Main Street. We made significant progress executing our 2017 operational objectives and we delivered strong financial results. I am pleased with what our team has accomplished over the first half of the year and the team is highly engaged in driving our strategic objectives for the back half of the year. And with that, I will turn the call over to Richard for his review of our financial performance.
Richard Beckert: Thank you, Burton. As we review the financials, I will focus on the GAAP and discuss the non-GAAP numbers where appropriate. During the second quarter, GAAP revenue increased 7% year-over-year to $801 million. Net service revenue increased 35% year-over-year to $201 million. The average WSEs for the quarter was over 324,000, flat year-over-year. Professional service revenue for the second quarter decreased 1% year-over-year to $109 million. Net insurance service revenue for the second quarter increased 133% year-over-year to $92 million. The increase in net insurance service revenue was driven both by insurance service revenue growth and lower than forecasted insurance costs. Insurance service revenue grew by 9% in the quarter, equally driven by pricing and benefit plan enrollment growth, which exceeded our forecast. Insurance costs were lower than forecast due to lower administrative cost savings, improved healthcare and workers’ compensation experience. As Burton discussed, our administrative cost savings are improving our cost structure and we expect our client and WSEs to benefit from these efforts throughout the remainder of 2017 and into 2018. Historically, health experience can fluctuate from quarter-to-quarter. Through the first half of 2017, we realized improved experience outperforming our forecast by approximately 2 points. Our expectation for the second half is for experience to revert to our full year forecast. Given we are seeing enrollment growth and improved health experience; we are encouraged that our plan choice and pricing are competitive in the market. Total adjusted EBITDA for the second quarter increased 70% year-over-year, to $72 million compared to $43 million during the prior year period. GAAP net income increased 225% year-over-year to $40 million or $0.56 per share compared to $12 million or $0.17 per share in the same quarter last year. Adjusted net income increased 88% year-over-year to $37 million or $52 per share, compared to $20 million or $0.27 per share in the same quarter last year. Our GAAP effective tax rate was 23.5% for the second quarter and our Q2 pro forma tax rate was $40.5%. The decrease in our Q2 GAAP effective tax rate was primarily driven by the income tax accounting treatment for employee-based equity compensation. During the second quarter, we generated $28 million in operating cash flow, versus $2 million in the same quarter last year and spent $10 million in CapEx, representing 5% of net service revenue or net cash generation of $18 million. In the quarter, our operating cash flow benefited from the reduction in our workers' comp collateral and decreased cash taxes paid. In the same quarter last year, operating cash flow was impacted by the timing of the collateral payments and higher estimated tax payments. We closed the quarter with total debt of $441 million, representing a debt-to-EBITDA ratio of 1.9 times trailing 12 months EBITDA. We spent $2 million to repurchase approximately 60,000 shares of stock during the second quarter. We finished the quarter with total cash of $234 million and working capital of $169 million. Turning to our full year 2017 and third quarter outlook, I will provide GAAP and non-GAAP guidance. For the full year 2017, we forecast GAAP revenue in the range of $3.2 billion to $3.3 billion, which represents year-over-year growth of 5% to 8%. The lower range represents a slight reduction in our forecasted average WSE count. Given our first half financial performance, we are raising our net service revenue to be in the range of $730 million to $755 million representing a year-over-year growth of 13% to 17%. We are widening our guidance range to approximately 3% of net service revenue to account for our insurance cost, potentially reverting to our full year forecast during the second half. We now expect adjusted EBITDA in the range of $202 million to $222 million representing an adjusted EBITDA margin of 28% to 29%. We expect GAAP net income in the range of $92 million to $102 million, or $1.30 to $1.44 per share, and adjusted net income in the range of $100 million to $110 million or $1.41 to $1.55 per share. Our 2017 guidance assumes a GAAP tax rate of 40% and a pro forma effective tax rate of 40.5%. For our third quarter guidance, we are forecasting GAAP revenue in the range of $790 million to $810 million, which represents year-over-year growth of 3% to 5% and our net service revenue in the range of $170 million to $180 million, which represents year-over-year growth of 6% to 12%. We expect third quarter adjusted EBITDA in the range of $37 million to $42 million representing an adjusted EBITDA margin of 22% to 23%. Our third quarter GAAP net income is expected to be in the range of $12 million to $15 million or $0.17 to $0.21 per share and we expect third quarter adjusted net income in the range of $16 million to $19 million or $0.23 to $0.27 per share. This concludes the second quarter financial results overview. I will now pass the call back to Burton for his closing remarks.
Burton Goldfield : Thank you, Richard. We made important progress towards our 2017 operational objectives. Each of these objectives is intended to improve the client experience and TriNet’s operational performance. We believe we are starting to see the results of managed scale within insurance services including sustainable reductions in our administrative costs. I want to thank the entire TriNet team for their focus, dedication and results as we continue to pursue our mission. I look forward to updating you on our progress and success in the coming quarters. Operator?
Operator: [Operator Instructions] And our first questioner today is going to be Kevin McVeigh with Deutsche Bank. Please go ahead.
Kevin McVeigh : Hey, let me add my congratulations. Really, really great outcomes.
Burton Goldfield: Thanks, Kevin.
Kevin McVeigh : Definitely, Burton, really, really nice. Burton, could you size up for us just directionally, the kind of – on the insurance side, the drivers of the outperformance, the administrative versus, the couple other variables you lined up kind of, is just really, really great outcome there.
Burton Goldfield: Thanks, and obviously this has been a lot of work over the past couple years. I’ll let Richard start with that and I will jump in with comments.
Richard Beckert: Right, how are you?
Kevin McVeigh : Thanks Richard. Hey, Richard
Richard Beckert: How are you today? So the first part of is our cost both ours and our carriers’ and we believe that’s repeatable overtime. We’ve also seen improved healthcare experience and we expect that to kind of come back around the back half of 2017 and we’ve seen improved workers’ comp experience. So as we said on the call, we did outperformed slightly by about 2 points and we believe that will wrap back around on the back half of the year.
Kevin McVeigh : Got it. And then, just more at a higher level, Burton or Richard, just how do we think about the scale at again, 330,000 employees and the leverage that affords you, as you scale the business further and what that can mean for the margin profile of the business?
Richard Beckert: Sure, I’ll let Burton to follow. So, clearly if you look at our results, our operating expenses actually came in, in line with what we had anticipated and we see that going on and really the fluctuation is on the health cost. So, what we do see is over time, our ability and a lot of the work has gone on with the team over the last couple quarters is to get ourselves more efficient coming with new products allows us to over time over the next few years to continue to drive our cost structure down, curb the admin fees, but that has been performed by our insurance team over the last year or so is benefit. It will benefit our customers and clients over the back half of this year and into next year.
Burton Goldfield: And, Kevin, I am just going to add to that is, I’ve been talking about scale for a while and one of the first places we are seeing the outcome of scale and efficiency is in the administrative costs around insurance. I expect that to continue and grow over time. You’ve heard me talk for a long time about getting a million people on the platform. The reason is, as we grow our leverage and our scale affords us the opportunity to not only provide choice, we have over a 100 medical plans today, but also give us some cost advantage over time. So, when you talk about the profitability, to me, it’s the balance between having cost-effective medical plan having the choice in all 50 states and giving each individual employee or WSE the opportunity avail themselves of the best plan for them and their families. So, the balance over time will be efficiency in both our administrative cost as well as the overhead associated with the plan.
Kevin McVeigh : Understood. Could I ask, and get back in the queue?
Burton Goldfield: Sure, yes.
Kevin McVeigh : With all the noise around Obama Care, and things like that, are you seeing any kind of change in behavior in terms of clients kind of just given all the uncertainty that’s coming at the second half?
Burton Goldfield: I really believe that the more uncertainty whether it has to do with the healthcare or the employment loss or the regulatory issues right now that are switching between the federal and the states is a great reason for a company to choose a construct like TriNet. So, from my standpoint, this uncertainty is a positive factor for TriNet, because we take that regulatory compliance portion and help them navigate as they build their business. Very few people want to keep up with the daily changes within the healthcare loss as well as, and I had pointed out on other calls, the amount of federal state and local regulations that have changed as it relates to salary wages over time and the plethora of other things that go on in employment.
Kevin McVeigh : Awesome. Nice job, thanks.
Burton Goldfield: Thanks, Kevin.
Operator: And the next questioner today is going to be Timothy McHugh with William Blair. Please go ahead.
Timothy McHugh : Thanks. Can you – I know you are only a month into it, but is there any early kind of feedback you can give on the migrations from SOI to Main Street?
Burton Goldfield: So, Tim, this is Burton. We haven’t started the migration of the SOI clients to Main Street. Main Street went live on July 1 running payrolls for net new clients. So we are bringing on new clients and we expect to start the migration during the quarter, but the first order of business was having the platform run with net new clients and exercising that platform as we build out the capabilities. So specifically, as it relates to Main Street, we started quoting in April. We started onboarding net new clients in June. We ran our first payroll in July, very early July, and we are going to begin the migration during the quarter.
Timothy McHugh : Okay. That’s helpful. And then, the comment about you expect growth in WSEs and I guess, in professional fees to rebound once you finish that migration. I guess, how are you thinking about as you’ve guided for the second half to impact of the migration on those basically? While it’s going on, do you think - what should we expect?
Richard Beckert: We don’t guide WSEs, but I think, what we can tell you is, we are actively working through the install base which has given us the great opportunity to price thrift. So as we see some WSEs that maybe they will see their fees go up, they might decide to move on, but in general, we are pleased with the progress that we are making today.
Burton Goldfield: And Tim, I want to address it at a little bit higher level. So, I believe we will get back to the long-term growth trajectory as it relates to professional services and WSEs. There is three different important points to make on that. The first is, that the platform investments we are making now are aimed at strengthening our model and supporting profitable growth into the future. And the second thing is, that I believe that we will return to that growth as we complete the SOI migration process and accelerate the TriNet Main Street rollout. And finally, everything that we are doing is about improving our ability to better penetrate the large addressable market, which I still think is a tremendously hurdle market and we will be able to penetrate that in a profitable manner long time into the future.
Timothy McHugh : Okay. That’s helpful. And can I just ask – I thought just if I missed this, the sales headcount, did you give that at the end of the quarter?
Richard Beckert: We did not, what we to tell you is that we are up year-over-year and quarter-over-quarter. So a lot of the focus that we have had this past quarter is we’ve had very good retention of our newest sales reps that have come on board and we’ve really seen that as a major productivity improvement we believe going forward.
Timothy McHugh : Is that a metric you are not going to give going forward?
Richard Beckert: I think what we will do is, give to you on a periodic basis. But, as I said, it’s not as critical and we are really looking to drive the productivity of the team that we have on board and keeping them on board and not seeing the attrition is actually a better productivity improvement and just that we will continue to grow the sales team, but we don’t think that as critical as making sure that we have them as productive as possible.
Timothy McHugh : Okay, thank you.
Burton Goldfield: And Tim, just to add to that, as Richard said, first, we are seeing a reduced attrition which I am pretty excited about in our new hires. I think it’s a combination of the improved hiring process and frankly a more comprehensive compensation plan. And the second thing is, that our revenue base comp plans which we talked about in the past, that were rolled out at the beginning of the year, which are based on annual contract value or ACV have been successful in keeping sales personnel and also strengthening PEPM.
Timothy McHugh : Okay, thank you.
Burton Goldfield: Thank you Tim.
Operator: And the next questioner today is going to be David Grossman with Stifel Financial. Please go ahead
David Grossman : Good afternoon. Thank you.
Burton Goldfield: Hey, David.
David Grossman : Hi. Maybe just a quick clarification first, just as we talk about the net insurance revenue, I just want to make sure I understood the dynamic in the back half of the year and I think you are referencing net insurance revenue. So, obviously, in 2015 and 2016, we are kind of in the 7% range, maybe a little better first half of the year we are kind of been less – less 12% to 13% range. Just to give us some rough parameters, how should we think about that in the back half of the year based on what you were talking about in your prepared remarks?
Richard Beckert: Great. Let me just give you, it was 13% in the quarter and it should revert back around as we had talked earlier, this is about two point movement that we had seen through the first half. So, if it comes back to the way we believe it will, through our actuaries that kind of gives you I think a bandwidth to work within.
David Grossman : Okay, so, 2% relative to the 2013 in the second quarter?
Richard Beckert: There is also seasonality as you know in the back half, so.
David Grossman : Right, right. Okay, and then, just I guess, at a higher – I know this came out from one of the other questions about the WSE growth, because it’s actually very hard like how they ascertain what’s going on in the fundamentals of the business because of all the different transitions going on this year. So, are there any data points perhaps that you can share with us outside of SOI that would help us better understand what’s going on in the core business in terms of the growth of the business and the fundamentals of that business?
Burton Goldfield: So, what I am excited about the activity, I am excited about the overall business, David. I am excited about the amount of quotes we are getting for the Main Street product. As you said, there is a lot of moving parts here. So – and then on top of that, to be perfectly frank, our growth in enrollment in insurance was 5% which makes be believe that the pricing is right for the insurance. So it’s about profitable growth. You are absolutely correct, there are lot of moving parts to this and I believe that, clarity will be obtained once we finish the migration and we solely focus on both improving the product and growing each of the product lines.
David Grossman : Right, so is there anything for capital in the more mature lines like financial services or healthcare where, you have some data points that may speak to some of the success you are having with the vertical strategy that perhaps are not as impacted by, again, some of the transitions that are going on right now in 2017?
Richard Beckert: Sure, this is Rich. So when we life science, because that’s our most mature, we saw year-over-year an improvement in the dollar per PEPM by high single digits. So, we are pretty pleased with that we are able to continue to drive that. That kind of also demonstrates that the vertical approach is working.
David Grossman : Great. Very good. Thank you.
Burton Goldfield: Thanks, David.
Operator: And the next questioner today is going to be Tien-Tsin Huang with JPMorgan. Please go ahead.
Tien-Tsin Huang : Hi, good afternoon. Good upside here. Just wanted to – I guess, on the professional services revenue is down 1% versus WSE flat to slightly up. What’s driving the delta? There are no small, but trying to see if there is any change in trend.
Richard Beckert: It’s predominant, just the SOI migration and if you recall, with the launch of TriNet Main Street, we brought that on a little slower. So therefore, it’s just that transition. We are actually comfortable with the direction of that. If you look at the other verticals they are actually growing. So it is really just that transition that we are going through.
Tien-Tsin Huang : Okay. So, asking about the plus one and the minus one. So as far as the professional services revenue, wasn’t there a tax issue or so?
Richard Beckert: All that really was because if you look at the way we transitioned out, on average it came down, and what you really see is at the back end of the quarter it’s up one. So it’s just quite mass movement. We are actually doing okay, there and it came in as anticipated.
Tien-Tsin Huang : Okay, so it’s just a little bit of averaging, only massive, not a pricing or a same-store change issue? Okay, just, I guess, just to clarify on the …
Burton Goldfield: I am happy with the PEPM, Tien-Tsin.
Tien-Tsin Huang : Okay, understood. Just wanted to make
Burton Goldfield: Yes, a great question.
Tien-Tsin Huang : A cut out of it. I think the – just on the guidance, I want to make sure I heard correctly from Richard. The lower end of the revenue guidance for the year, did you say that was assuming a decline in WSEs? Did I hear that incorrectly?
Richard Beckert: No, what we are really are talking about, the change in guidance and the widening of the guidance has more to do with how we believe the health experience will happen in the back half of the year. So, if you look at our GAAP revenue, the $3.2 billion to $3.3 billion, that is a slight decline in WSEs, correct, again attributed to the SOI migration.
Tien-Tsin Huang : Got it. Last question I promise. Just on the migration timetable. I mean, is it something that you are going to do in pieces and chunks, if attrition spikes, is this something you would scale back. Just trying to understand, so that your game plan and the dynamics of how you will address the migration as things happen on the ground?
Richard Beckert: We want our customers to have a good experience, I think that’s first and foremost. So, as we work through this, we are working our way through the SOI install base. We’ve heard you read price to risk, so we had some people that will – were select out on their choice and others as we continue to build out Main Street, we will bring them over in waves as we go up through the back half of the year.
Tien-Tsin Huang : Okay.
Burton Goldfield: And just to add to that, getting the product right is job one from my standpoint. I want the clients as far as the migration to be viably happy. We have a lot of great clients now. I think that many of the clients who have already left have left for reasons that I am okay with. So I want to make sure in each of these waves, that we’ll know after the first couple waves go over, how quickly we can do it. But I am really focused on making sure that everything is ready, the house is ready and the migration goes well. I am getting comfortable with that, because the new clients are on board. They are running payroll and things are running well. But there is a different bar for the migration than there is for the new clients. So I am getting more comfortable, but I just want to make sure it goes as perfectly as possible.
Tien-Tsin Huang : Good, yes, and I trust that’s the case. Thank you, Burton, thank you.
Burton Goldfield: Thank you.
Operator: And the next questioner today will be Danyal Hussain with Morgan Stanley. Please go ahead.
Danyal Hussain : Hi, thanks for taking the question. I just wanted to ask a couple clarifiers on insurance. So, I mean, I wasn’t quite clear, but your guidance for the back half seems to have been lowered. And it seems like you were saying, you expect to reverse into normal insurance margins, but the guidance suggest you actually anticipate the full year to look like a normal margin profile. So just wanted to clarify that and then separately was there any sort of reserve release in the second quarter on workers’ comp or anything else? Thanks.
Richard Beckert: Yes, there is some reserve release in workers’ comp. But you are also correct that we are looking for the back half to revert back. We did in our prepared remarks said some of that did dropped to the bottom-line. So it’s not a 100% coming back. And remember, as we had talked about the admin cost, both our own TriNet and our third-party carriers. That will get passed on in the back half of this year and into next year. So it’s a little bit of all three of those.
Danyal Hussain : Okay, thank you and then, I think you talked in the past also about having repriced some of your SOI customers already and sort of in advance of the Main Street product, but it sounds like you are still in that process right. So, obviously, as you migrate them you will still be repricing them, but can you just talk about how many you’ve actually already repriced? Right, do you understand the question?
Richard Beckert: Internally, we’ve repriced the entire book. We haven’t necessarily brought that to the customers yet and still it’s time for renewal.
Danyal Hussain : Got it. So most of them, whatever attrition there was in the first half wasn’t attributable to repricing, because that hasn’t been brought to them, because they haven’t migrated yet?
Richard Beckert: There will be some of that, but most of it’s ahead of us.
Danyal Hussain : Okay, great. Thank you.
Operator: Ladies and gentlemen this will conclude the question-and-answer session and today’s conference call. Thank you all for attending today's presentation and you may now disconnect your lines.